Operator: Good morning ladies and gentlemen and welcome to the DXLG Fourth Quarter Fiscal 2013 Earnings conference call. Today’s call is being recorded. At this time, I would like to turn the conference over to Mr. Jeff Unger. Please go ahead, sir.
Jeff Unger: Thank you. Good morning everyone and thank you for joining us today for Destination XL Group’s Fourth Quarter and Fiscal 2013 conference call. On our call today is David Levin, our President and Chief Executive Officer, and John Kyees, our interim Chief Financial Officer. During today’s call, we will discuss some non-GAAP metrics to provide investors with useful information about our financial performance. Please refer to our earnings release, which was filed this morning and is available on our website at investor.destinationxl.com for an explanation and reconciliation of such measures. Today’s discussion also contains certain forward-looking statements concerning the company’s operations, performance and financial condition, including sales, expenses, gross margin, capital expenditures, earnings per share, store openings and closings, and other such matters. Such forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those assumptions mentioned today due to a variety of factors that affect the company. Information regarding risks and uncertainties are detailed in the company’s filings with the Securities and Exchange Commission. Now I’d like to turn the call over to our President and CEO, David Levin.
David Levin: Thank you, Jeff, and good morning everyone. Before I jump into the results, I’d like to mention that I am here with John Kyees, our interim Chief Financial Officer. John has served on our board of directors since 2010 and was CFO of Urban Outfitters from 2003 until his retirement in 2010. He’s also served as a senior financial executive of several other prominent retailers, and John will play a valuable role on our senior management team while we conduct a search for a permanent CFO. As you know from our preliminary results announcement in January, much like the majority of the retail industry, the fourth quarter was a challenging one for DXL. At the same time, we continued to be pleased with the performance of our DXL stores. I’ll be discussing some very positive data from our most recent DXL marketing campaign and an update about our DXL rollout strategy on today’s call. First let me recap the results for the quarter. A few factors negatively affected Q4 sales of $108.5 million, which were lower than we had expected at the end of Q3. First during the key selling weeks between Black Friday and Christmas, store traffic was down approximately 4% from the prior year. Adverse weather conditions in some geographies also kept people from shopping. Nonetheless, we are pleased to report the same store sales for the 48 DXL stores opened greater than a year increased 13.6% and 12.3% for the fourth quarter and fiscal year 2013 respectively. In total, our comparable sales for the fourth quarter and full year increased 4.2% and 3% respectively in the prior year periods. In September, we launched our fall marketing campaigns for DXL. This time around, our ad campaign aired on network television to supplement our nationwide presence on cable, which included spots during NFL games and prime time television on CBS and Fox. As in the spring, the fall marketing campaign also included a radio and digital marketing mix. With these higher profile media spots, the results of the fall campaign were even better than our spring flight. DXL brand awareness nearly doubled following the fall campaign to 25%. In markets where we’ve opened a DXL store, awareness grew to 30%, and in markets where we don’t have a store, awareness grew to 22%. Customer traffic at our DXL stores increased by nearly 10% overall during the seven-week campaign, which ended right before Black Friday. In addition, sales in the bottoms category to the key end-of-the-rack guys with 40 to 46-inch waist increased by 31% during the fall campaign. As we have discussed before, this is a key new demographic for the DXL concept. In 2014, we will launch a new marketing campaign that will build on our previous two. The objective of the new campaign will be to further reinforce the DXL brand, better communicate the products and services we offer, and demonstrate why we are the choice retailer for our target customers. This time, the marketing will include a call to action which was not present in our past two campaigns, and will have additional geographically targeted radio spots. We anticipate a similar marketing spend in 2014 as we had in 2013; however, we now have over 100 DXL stores in our portfolio and therefore expect a higher return on our marketing dollars. We’ll provide more details on this campaign on our Q1 call. A portion of our marketing dollars are being spent on digital initiatives. As we all know, internet and mobile sales are growing at a rapid pace as consumers spend more time shopping online than at brick-and-mortar stores. We’ve made considerable efforts to improve our online storefront and the experience our customers have at destinationXL.com. As a result, in Q4 our strong online sales outweighed the decline in catalog sales, resulting in an increase of 1.2% for our direct business over last year. In the second half of 2014, we will anniversary the elimination of our catalog circulation and will not have the difficult comparison with last year. Before I turn the call over to John to review our financials, I’d like to give you an update on our conversion plan for Destination XL. During Q4, we opened 25 DXL stores and closed 40 Casual Male Xl stores. We now have 102 DXL stores open across the country and are represented with at least one store in every major metropolitan area. DXL store square footage has more than doubled since last year to more than 915,000 square feet. The DXL same store sales continue to dramatically outperform our Casual Male XL stores and as the chain becomes more fully converted, our top line sales growth should improve accordingly. In fiscal 2013, our DXL stores accounted for 25% and the direct channel accounted for 18% of our total business, compared with 11% and 18% respectively in fiscal 2012. Our original plan for 2014 called for us to open another 60 DXLs and to close 100 Casual Male XL stores. The long-term goal was to have 215 to 230 DXL stores open and to have closed all of our Casual Male stores, excluding outlets, by 2016. We now believe that we should be opening approximately 40 DXL stores and close approximately the same number of Casual Male stores in 2014 and extend the rollout through the end of 2017. During the implementation of a transformative strategy like our conversion to DXL, you learn along the way and you have opportunities to adjust the plan. The first thing that we’ve learned is that the conversion to DXL was certainly the right strategy for the company. Our DXL comps, customer reaction, and new store margins give us continued confidence in this strategy. Since initiating the DXL rollout nearly three years ago, we’ve made tremendous progress and have been able to analyze a significant amount of data with respect to the effectiveness of our store openings and closings. So what did we learn? First, our initial concerns about declining productivity and erosion of our customer base at the remaining Casual Male XL stores did not materialize. In 2013, we closed Casual Male stores which contributed $16.2 million in sales last year and were not replaced by DXL stores. We are therefore slowing down the Casual Male closings and will keep more Casual Male stores open for a longer period of time. The Casual Male XL stores that will remain open are not the one-for-one stores that were closed when a DXL store opened in close proximity; however, most of the remaining casual male stores are still within driving distance of the new DXL stores and can therefore serve as ambassadors for the DXL brand. Our Casual Male associates will educate their current customers about the benefit of shopping at the new DXL stores and where to find the nearest location. The remaining Casual Male stores also will be equipped with marketing kiosks that provide information about the nearest DXL store. We expect these efforts to improve DXL brand awareness and our customer conversion rate. Second, by extending the completion date of our strategy, we can be more selective about real estate decisions, for example the locations, timing and size of our new stores. By accelerating the closing of our Casual Male stores, we were incurring unnecessary expenses related to early lease exit penalties. Immature DXL stores in certain geographies were not able to offset that expense and recoup the lost cash flow of the Casual Male stores. This was especially true when a DXL store was opened in the fourth quarter. Stores that open during the fourth quarter generally don’t have enough time to sell through the fall holiday inventory before it is put into clearance, thus negatively affecting a store’s profitability; therefore, going forward DXL store openings will be weighted towards the first three quarters of the year. We’ve also determined that the average size of the standard DXL box exceeds the square footage necessary for some of the smaller markets we currently occupy or that we plan to enter. A standard DXL box calls for 8,400 square feet of space, but we’re modifying our design to fit into spaces with a smaller footprint of 5,000 to 6,000 square feet. We plan to open this concept in several smaller markets this year. This will significantly reduce our net build-out cost, improve our sales per square foot, and increase the four wall contribution in these smaller markets. The stores will offer all the same styles and brands as our larger DXLs, but will hold fewer units of inventory. We’d like to be very clear that the number of full-size DXL stores that we intend to open remains the same. The 215 to 230 store openings that we previously quoted just move out to the end of fiscal 2017, and with the smaller format stores now being introduced, the final number of DXL stores in our portfolio may increase. We now expect the overall store square footage at year-end fiscal 2014 to approximate 1.2 million, an approximate 34% increase from the end of 2013. To summarize, we remain very confident in our DXL strategy and now expect to complete the rollout by the end of 2017. After accelerating the rollout during the past 18 months in order to capitalize on the benefits of the DXL concept and our marketing campaigns, we now have a critical mass of 102 DXL stores, 48 of which have been open for a full year. We’ve learned a tremendous amount from our experience in rolling out DXL and as a result, we have optimized our rollout plan in order to grow our top line, improve profitability, increase cash flow, reduce early lease terminations, and improve our sales per square foot and four wall contributions. We expect these changes to help us achieve double-digit operating margins in three to five years. This revised strategy enables us to be a stronger company from a financial and operating perspective, both during the conversion to the DXL concept as well as to the end of the process. We’ve known for a long time that we have a winning concept and now we’re using the knowledge that we’ve gained along the way to adjust our strategy to better serve our customers and shareholders. With that, I’ll turn the call over to John.
John Kyees: Thank you, David, and good morning to everyone. I’m delighted to be back in the saddle and look forward to working with David during this transition period. As you know, I served on the board for more than three years and I’m deeply committed to and supportive of the company’s strategy. I’ll start by highlighting the company’s results and then provide some context around our guidance for fiscal ’14. For the quarter, total sales were $108.5 million compared with $114.9 million for the prior year’s fourth quarter. The decrease of $6.4 million in total sales was principally due to the challenging retail environment, shorter holiday selling season, and adverse weather conditions in certain regions. In addition, the fourth quarter of 2012 contained an extra week, which contributed approximately $5.9 million of sales in that period. Furthermore, we experienced a decrease in the quarter of $4.5 million related to lost sales from our Casual Male Xl and Rochester clothing stores that have closed since last year and have not been replaced with a DXL store. These factors were partially offset by a comparable sales increase of 4.2% or $4.3 million. Let me briefly define what we mean by comparable sales. Total comparable sales for all periods include retail stores that have been open for at least one full year. Stores that have been remodeled, expanded or relocated during this period are also included in determining comparable sales. Most DXL stores are considered relocations and are comparable to all closed stores in each respective market; therefore, those DXL stores are considered a comparable store upon opening. Direct businesses are also included in the calculation of comparable sales since we are a multi-channel retailer. Going forward, due to a significant number of DXL stores that now have been open for more than a year, beginning with Destination XL’s first quarter fiscal 2014 financial results, the company’s DXL store comp sales metric will no longer include sales from DXL stores that have been open less than a year. Starting in Q1, we’ll now be reporting same store sales in line with industry standards. The comparable sales increase of 4.2% consisted of an increase in our retail business of 4.9% or $4 million, driven by our 99 DXL stores that had a comparable store sales increase of $4.5 million or 15.7%, including relocated stores. As previously mentioned, the same store sales increases for the 48 DXL stores open greater than one year was 13.6%. Our remaining retail stores had a comparable sales decrease of $0.5 million or 0.9%. The comparable sales increase included an increase in our direct business of 1.2% or $0.3 million. Sales for our e-commerce business were up $1 million or 6.1% for Q4, partially offset by a decrease in our catalog sales of $0.9 million or a negative 59.1%. As a reminder, we eliminated our catalog completely in Q2 2013 and replaced them with more cost effective direct mail pieces. Total circulation of our catalogs and mailers decreased 15.5% in the fourth quarter over the prior year. The operating profit for the fourth quarter increased slightly from 31% to 31.3%. While catalog sales have decreased, the profit margin from our direct business will continue to improve over time as we continue to drive sales from our more profitable e-commerce business. In the long term, we expect our e-commerce business to replace the current shortfall in sales from our legacy brand catalogs. Gross margin for the fourth quarter, inclusive of occupancy cost, was 45.3% compared with gross margin of 47.5% for the fourth quarter of last year. The decrease of 220 basis points was a result of an increase in occupancy costs of 180 basis points and a decrease in merchandise margin of 40 basis points. On a dollar basis, occupancy costs for the fourth quarter increased 7.1% over the prior year due to the associated pre-opening costs and timing of 25 DXL store openings during Q4, as well as the timing of our Casual Male XL store closings and lease exit costs. In fiscal 2014, we are expecting our occupancy costs on a dollar basis to increase by about $1.8 million as a result of the 40 new DXL stores opening this year and the annualization of this year’s openings; however, we expect the occupancy costs will be approximately 20 to 50 basis points lower as a percent of sales in 2014 than in 2013. We are expecting that our merchandise margins, which have improved more than 170 basis points over the past four years, will remain relatively flat to a slight increase of 40 basis points in 2014. As a percentage of sales, SG&A expenses increased to 44.1% compared with 37.7% for the fourth quarter of 2012. On a dollar basis, SG&A expenses increased $4.6 million or 10.6% for the fourth quarter compared with the prior year fourth quarter. During Q4, the company incurred approximately $2.9 million in incremental transition costs related to DXL pre-opening payroll, store training and infrastructure costs, and $2.3 million of severance costs which were accrued at year-end. Net loss for the fourth quarter was $55.1 million or $1.14 per share, which compares with net income of $4.2 million or $0.09 a share in last year’s fourth quarter. The net loss for the fourth quarter of fiscal 2013 includes a non-cash charge of $51.3 million to establish a valuation allowance against our deferred tax assets. During the fourth quarter of fiscal 2011, we reversed $42.5 million of our valuation allowance against our deferred tax assets, resulting in an income tax benefit for fiscal 2011. However, since our fiscal 2013 net loss resulted in a three-year cumulative loss position, we recorded this non-cash charge to establish full valuation allowance against our deferred tax assets. For fiscal 2013, excluding the $1.05 loss due to the valuation allowance, a $0.03 loss due to the executive severance, and a $0.02 loss due to fixed asset impairment charges, our diluted earnings per share related to operating the business is a loss of $0.13. This number is less than the previous year EPS of positive $0.13 and is primarily attributable to lower than expected sales, the increase in marketing costs related to our national marketing campaign, and increased costs associated with our DXL growth. In total, we incurred $11.2 million or $0.14 a share in transition costs during fiscal 2013. This included $4.3 million in occupancy-related costs associated with lease terminations and pre-opening rent, $5.3 million of DXL SG&A costs, and $1.6 million of amortization related to our trademark. The company used $54.1 million for capital expenditures in fiscal 2013. That was partially offset by approximately $9.9 million in tenant allowances from landlords. From a liquidity perspective, for the 12 months of fiscal 2013 we had $4.5 million in cash and cash equivalents, debt of $25.7 million, and $75.5 million of credit available under our revolver facility. Our inventory levels at the end of the fourth quarter were up 1.3% but unit inventory levels were down 6.9% than year-ago levels. We are carrying a greater percentage of branded apparel for our DXL stores and this inventory has a higher carrying cost. Now turning to our guidance for next year, we expect revenue for fiscal 2014 to be in the range of $405 million to $410 million, which is based on a comparable sales increase of approximately 5.6% for the year for direct and sales on stores open greater than one year and same store sales increase of between 12 and 15% for the DXL stores that will have been open for one year. We expect gross margin to increase 20 to 90 basis points. SG&A costs are expected to be approximately $175 million to $177 million primarily related to an increase in operating costs associated with a greater number of DXL stores versus Casual Male stores, as well as the pre-opening costs and payroll. We expect earnings per diluted share to be in the range of a loss of $0.21 to $0.27. We will not recognize any income tax benefit in fiscal 2014 because DXL established a full valuation allowance in the fourth quarter of fiscal 2013. For comparative purposes, assuming a normal tax benefit of approximately 40%, the loss per diluted share for fiscal 2014 on a non-GAAP basis is expected to be approximately $0.12 to $0.16. Our capital expenditures for fiscal 2014 are expected to be approximately $36 million after considering expected constructing allowances contributed by our landlords on the new DXL sites. These expenditures will be spent largely on our planned opening of DXL stores as well as technology projects to continue to improve the e-commerce site and the in-store customer experience. The fiscal 2014 net capital spend of $36 million net of tenant allowances will be funded from equipment financing notes, our revolving credit facility, and EBITDA generated during the year. Inventory levels are expected to be approximately flat with the prior year by the end of fiscal 2014. By the end of the year, the company expects to have a net debt position of approximately $50 million to $55 million with $50 million to $60 million in excess availability. This concludes my remarks. We’ll now take your questions.
Operator: Thank you sir. [Operator instructions] We will take our first question from Thomas Filandro from Susquehanna Financial Group.
Thomas Filandro – Susquehanna: Hi, thanks. Nice to see you’re involved with the day-to-day, John, so, so much for retirement. David, a quick question for you – on the accelerated traffic impact that you experienced from the advertising campaign, and then you did not experience it though December, are you guys planning on any adjustments to the timing and/or shifting of dollars in the way you’re advertising for the second half? And then my second question is more related to John – can you just be clear on exactly when you anniversaried cutting the catalog mailings, and how should we think about normalized direct channel growth on an apples-to-apples basis, please? Thank you.
David Levin: Okay, in respect to the timing of the marketing, yes, we’re smoothing that out and what we’re doing is we still have two major television campaigns going on in the spring and in the fall, but what we’re doing is we’re adding radio in extended periods of time to smooth out some of those bumps that we get when we have the commercial running. So we have addressed it, so we’ll be running our commercial through December where this year we ended it November 15.
Thomas Filandro – Susquehanna: Okay, excellent. Thank you.
John Kyees: In terms, Tom, of the quarter catalog, it stopped in the end of second quarter of 2013, so we have—once we get to third quarter, we won’t be against any catalog business.
Thomas Filandro – Susquehanna: Do we have sort of a view of a normalized rate of growth that we should think about for the catalog—I mean, I’m sorry, not for catalog, for the direct channel?
David Levin: Right now, we’re assuming high single to low double digit increases.
Thomas Filandro – Susquehanna: Okay, excellent. Thank you very much. Best of luck to you all. Thank you.
Operator: We’ll move next to Laura Champine from Canaccord.
Laura Champine – Canaccord Genuity: Good morning, and good to be able to chat with you again, John. Just wondering what the change in timing of the transition does to your long-term objectives, and if you can give us a sense of where those stand today.
John Kyees: Hi Laura, good to talk with you as well. I’ve missed a lot of you folks, so good to have a chat. The potential of the long-term still remains the same, it just gets pushed out a little bit. It probably does a wonderful job in terms of protecting our liquidity during that period of time, and it definitely will improve our store real estate choices and our timing on our real estate decisions, so I’m really very pleased with this approach. I think it gives us much more confidence in the DXL concept being a success.
Laura Champine – Canaccord Genuity: Got it. Thank you.
Operator: Once again, I would like to remind our audience it is star, one if you have a question or a comment. We’ll move next to Mark Montagna from Avondale Partners.
Mark Montagna – Avondale Partners: Hi. Just to follow up on the radio question, how many weeks of the year do you plan on being on TV this year versus last year, and then how many weeks of radio, and then are the radio ads—it sounds like they’re going to run also with the concurrent with the TV ads. I just want to verify that.
David Levin: Yeah, the television, we haven’t finalized the fall run yet, but we’re going to be pretty much anniversarying what we did in 2013 so we’re talking about 12, 13 weeks of television that will also have the radio going on at the same time. And then, we’re going to be extending out several more weeks on the radio, mostly in the back half of the year, to get where our business is much stronger, and we do want to penetrate into that holiday period where we stopped advertising, again as I said, around the middle of November this year.
Mark Montagna – Avondale Partners: Okay. I would imagine that you guys obviously got hit pretty hard with the weather. Can you help us understand how many partial closed days or full closed days you had? Did that decrease potential days by a couple percentage points?
David Levin: Oh absolutely, and I know some retailers are giving number of closing days. We didn’t add it up, but I know one day we had 85 stores closed in one day and we probably had another 50 that did less than $100, so we were severely impacted by the weather, as most retailers were. But on a positive note, what we’re hearing about first quarter has been pretty dismal out there at retail, and actually we’re pretty pleased with our first quarter business. Our DXL store comps are still close to double digit and in total company we’re up in the mid single digits, which is actually higher than we were in Q4. So again, I think weather has been the enemy of all of us, but wherever we’ve seen weather, decent weather, we’re confident; in fact, we zone out our businesses by geography and our southern tropical store comps are running at 10% better than the Midwest and the north, so we’re confident that it’s weather and we’re also feeling very good about the early reads on our spring product. Again, we could look to Florida and we could look at some of those markets, and the checkout of our spring receipts has been quite good.
Mark Montagna – Avondale Partners: When you’re saying DXL store comps are running close to double digits, this is based on your new methodology industry standard for comps—
David Levin: Yes, this would be stores open greater than a year.
Mark Montagna – Avondale Partners: Okay, that’s good. Then I might have missed this, but did you say whether traffic had improved following the ad campaign?
David Levin: Yes. Traffic did improve, but again once we hit December, we lost traffic; and again, I think that was relative to everybody else having traffic problems in the month of December and January. But our traffic while we were running the commercial was plus-10%, which was a dramatic swing from what we’ve been seeing. Again, traffic has not been the driver for the DXL stores as much as it’s been average ticket, but what we’re currently seeing is we’re seeing that starting to balance out where traffic and dollar per transaction are equalizing themselves, which is a much healthier position for us.
Mark Montagna – Avondale Partners: Okay. Then how about web traffic following this campaign, because I think last spring it did increase, but did this show a better increase in the web traffic?
David Levin: It was very similar. We get a big boost in traffic when the TV commercial is running. Conversion comes down somewhat because there’s a lot of just curiosity going into the website, but as we mentioned previously, our web business, our internet business traffic, sales has been much stronger in the last four months than it was in the prior—earlier in the year, and we’re very pleased with that. Again, we’re starting to cycle through finishing up going against catalog. We’re up against it for this quarter and next quarter, but we’re already seeing a significant shift in the top line sales of our internet business as the internet continues to dominate and the catalog becomes less significant to us.
Mark Montagna – Avondale Partners: Okay, and then when you were talking about smaller market stores, are these markets that you had previously not considered or—and then do you have—
David Levin: That’s a very good question. Some of them were on the bubble. We couldn’t seem to rationalize. Some we said, well, we need to be in that market; but with this new model, again, where we’re looking for stores to come up to do $1.5 million, $2 million, we could rationalize going into these smaller markets and at $1 million we could make four-wall profitability that’s similar to the bigger boxes. This is a big move for us. We were able to maintain the DNA and the integrity of the bigger stores. The look and feel is going to be the same. Customers walking in for the first time will be wowed as much as they were in the previous locations. We’ve made some cosmetic moves that the customer should not see – you know, taking down degraded carpeting, not putting in the expensive light fixture packages, less registers, one less dressing room. But it really brings down our CAPEX for the year dramatically, so for the stores opening this year compared to last year, on average they’re 1,000 square feet less, which will equate to over $1 million just in rent savings alone.
Mark Montagna – Avondale Partners: Okay. But these stores that you’re opening this year, are any of these in the smaller markets?
David Levin: Yes, we’ll be opening probably five to 10 of our 40 stores will be in the smaller box in the smaller markets. And just to give you a few examples that we have lined up: Temecula, California, Lafayette, Louisiana, Springfield, Illinois – again, a lot of these markets were on the bubble with the old format, and now we could certainly rationalize to get the pro forma to be where we want it to be so these stores will eventually have 25 to 30% four-wall profitability when they mature.
Mark Montagna – Avondale Partners: That’s good. What about in the larger markets with stores, like if you have stores in New Jersey, Nashville – are those stores going to be smaller?
David Levin: Yeah, again—you know, the average store was 8,000 to 9,000 square feet last year, and we’re tightening it up. We’re now 7,000 to 8,000 square feet. Every square foot helps us in the end. It helps our sales per square foot, certainly. It helps our CAPEX build-out. It helps on our occupancy cost, so we’ve been tightening it up from the early prototype when we started at close to 12,000. We went to 10, to 9, and now we could make—we could fit everything we need into 7,500 square feet. Then, it becomes a matter of the market depth, but we’re not going to be opening up stores that are more than 9,000 square feet going forward unless it’s a flagship-type operation.
Mark Montagna – Avondale Partners: Right, so you can do a store that’s 7,500 square feet. Is that 7,500 in the major markets and then the smaller markets, maybe it’s 6,500?
David Levin: Yeah, well in the smaller markets, we’re going to ratchet it down to 5,000 square feet where we can, so that is a significant difference from 7,500 to 8,000. But again, because we’re not going from a build-up real estate market where there’s a lot of new real estate, we’re going into a lot of buildings that have been previously occupied, so we can’t always control what it’s going to be. So some are 7,500, some are 8,500; it’s what the landlord can carve out for us in the right place. But again, 7,500, 8,000 square feet, that seems to be the magic number.
Mark Montagna – Avondale Partners: And then last question just dealing with—
Jeff Unger: Mark?
Mark Montagna – Avondale Partners: Yes?
Jeff Unger: Can you let someone else and just come back, please, because we’ve got a bunch of people who’d like—
Mark Montagna – Avondale Partners: Oh sure, yeah. I’ll jump back in. Thanks.
Operator: We’ll move next to Chris Krueger from Lake Street Capital Markets.
Chris Krueger – Lake Street Capital: Good morning. Just a quick couple questions. First on your advertising campaign, I know it’s been kind of in the periods leading up to Father’s Day and the October-November NFL football season. Looking beyond this coming year, are there are any other times of the year that you’re sort of targeting longer term to potentially add into that, whether it’d be—first thing that comes to mind if NFL playoffs or March Madness for NCAA basketball.
David Levin: No. Again, we have—obviously we have a budget to adhere to, and we’re spending about the same amount of money we had last year to get the right balance of weight of viewership and all those things. We do have to concentrate. If we spread ourselves too thin, it loses its impact. But again, we look at the key selling periods. There is a dramatic difference in our business in Q2 and Q4 versus at the end of Q3, so our guy’s really not out there shopping in force really until Memorial Day – that’s when our business starts to spike. It would be difficult for us to change that behavior, so we would be spending quite a bit of money and not getting the bang for our buck. So we’re hitting it up when the most opportune periods are for us right now.
Chris Krueger – Lake Street Capital: Okay. Currently in your newer DXL markets, do you have a pretty good handle on tracking the conversion of Casual Male customers who have converted to DXL through your databases, and how that is trending?
David Levin: Yeah, that we know to the customer. We do track that customer, and again we know a lot about them today. Obviously we’re going to get the highest conversion where the store stays very close to its Casual Male base. The further we move the store – for example, if we move the store 15 miles, we’re going to get less conversion, and that’s what—our number one priority is to increase that conversion rate, and what we are doing a lot more than we’ve ever done in the past. Today, the day we sign a lease in a market, we put that store into the marketing campaign where we bring in video monitors behind the registers to talk about the new store, we give them DXL shopping bags, and we start getting them prepped. One of the problems we had in the past was that we were doing this two months prior to the store closing. Well, if the customer only shops two times a year, there’s four months of customers that had no idea that Casual Male was going away and DXL was coming. Now, we have a better opportunity and a very big, important play by extending these Casual Male stores openings is going to give us a lot more opportunity to tell that customer where the DXL store is going, and we’re very excited about that. Again, these store people are going to be ambassadors to the DXL world.
Chris Krueger – Lake Street Capital: Okay. Last question – what was your stock-based compensation expense for the fourth quarter?
John Kyees: I’ll get back to you on that.
Chris Krueger – Lake Street Capital: Okay, thanks. That’s all I’ve got.
Operator: We’ll hear next from Charles Bellows from White Pine Capital.
Charles Bellows – White Pine Capital: Yeah, sort of a tag-on to Chris`- what is merchandise strategy for the Casual Males that you keep open, and how is that differentiated from the DXLG?
David Levin: Well, Casual Male stores are going to continue with the balance of inventory that they’ve always had. We’re not going to be putting in more brands into those stores. They operate at high margins because it’s almost all private label, and we don’t see any adjustments to that. Again, what’s encouraging to us is we haven’t seen the anticipated deterioration of these Casual Male stores that we thought was going to happen, and they do kick up a lot of cash for us. Most of these stores are 20, 25 years old, so (audio interference) and they have a nice contribution for us. So we don’t really see anything changing, and for us from an expense point of view, from here it’s just another store number to our planning and allocation and buying group, so we don’t have any special group that’s operating the Casual Male stores versus the DXL stores. It’s all the same group and they treat it as a different store number and have a specific assortment out of the total assortment of the DXL product that they get to offer.
Charles Bellows – White Pine Capital: Okay, so it goes just to a transition to the DXL store but just over a longer period of time?
David Levin: Correct, and again, we were aggressive in trying to accelerate this, and we are taking significant lease write-offs to get these DXL stores open, and we’ve been working with our landlords now, going back to them, getting extensions on our existing leases and taking it out another year or two to utilize all that cash that’s generated.
Charles Bellows – White Pine Capital: Okay, great. Any new brands, or are you pretty well set with your brands that are in DXL?
David Levin: We are so pleased with what we’ve accomplished with the brands. We’re kind of scratching our heads if there’s any—we don’t really see anything else out there that we really need in our assortment. We do have specialty smaller market brands, a brand like Psycho Bunny. It’s a young men’s brand. It does extremely well in certain markets, but that’s certainly not going to be an all-store brand for us. We’re feeling very comfortable and we like the result of what we’ve seen with Brooks Brothers – it’s been excellent, and we’ve had the sportswear line in and now the dress line, the clothing coming in from Brooks Brothers. We’ve just brought in Adidas Golf, and that looks very strong. We’ve only had a few weeks’ sales, but very pleased to have another brand in the golf area, which is one of our strongest growth categories.
Charles Bellows – White Pine Capital: Okay, perfect. Thank you.
Operator: Moving next to Mark Garfinkel from Perimeter Capital Management.
Mark Garfinkel – Perimeter Capital Management: Hello David, how are you this morning?
David Levin: Good.
Mark Garfinkel – Perimeter Capital Management: A couple of questions. Let me start off kind of one at a time. I was wondering if you might be able to provide any additional metrics or commentary surrounding your inroads into the end-of-rack customer since that is such an important part of the long-term growth story here.
David Levin: Yeah, well again, there we’re very pleased. We were—yeah, John has some numbers (indiscernible).
John Kyees: Yes. In the fourth quarter, for instance, end-of-rack customers hit 43% versus 38% a year ago, and for the full year it was 40 versus 36. So you can see quarter-by-quarter, we’re gaining ground and we’re gaining against last year. So while we think it could be better, we’re pleased with the progress we’re making.
Mark Garfinkel – Perimeter Capital Management: Can you characterize the percentage of your customers that are coming in? If you’re seeing such large inroads to the end-of-rack customers, how is that impacting or how does that jive with your overall traffic count?
David Levin: Well, we can’t connect one from the other. We can’t connect traffic to what the size of the customer is, but obviously it’s being driven by the new (indiscernible) customers because if we’re getting the increase, it’s not coming from our existing customers. So I think our marketing, I think word of mouth is resonating out there with this guy who is 42 to 46. Anecdotally from everything I’ve seen when I’m in the stores, he is excited because he’s finally found a place to shop and he’s enamored by the breadth of selection and certainly some of the brands that we carry. They’re pretty amazed that we have those cache brands in big and tall sizes. So we continue to increase that penetration and adding more inventory into those sizes, and again it’s having a brand like True Religion – there you’re going to find certainly selling more to the left. It’s a pricey pair of jeans, but it’s got a lot of name brand behind it, and those types of brands we’re going to definitely see a bigger swing to the left.
Mark Garfinkel – Perimeter Capital Management: Okay. My next question would be you made some—in your prepared remarks, you talked a little bit about the Casual Male stores kind of helping with the transition or being an ambassador, if you will. I know that you have talked in the past about there being a little bit of a problem on the transition when you were closing DXLs and opening, just kind of not there being kind of that link between the Casual Male and the DXL store in the same market. So how much have you seen—where you have already been doing this, leaving a store open, how much have you seen this help? Do you have any additional commentary that you can provide as to how that may already be working if you’re already doing that?
David Levin: This is relatively new, and we’re measuring that now. I think we’ll be able to talk to that on the Q1 call, but we don’t have enough information on your question at this point in time. We’re obviously very focused on it and measuring everything we can to look for improvement.
John Kyees: I think one thing to think about on it is a guy typically doesn’t shop a lot. He may shop a couple times a year, and if you close the Casual Male store, even though you’ve told him on his last shopping visit that three months from now you’re going to open a DXL store, he isn’t going to remember that six months down the line. So this opportunity of saying—you know, he’s shopping in a Casual Male store and the DXL store is already open and you can guide him to that DXL store, there’s a tremendous opportunity in making the conversion a real thing.
Mark Garfinkel – Perimeter Capital Management: I think that will be very helpful. Hey, thanks a lot, guys.
Operator: As a reminder, it is star, one if you have a question or comment. We’ll go back to a follow-up from Mark Montagna from Avondale Partners.
Mark Montagna – Avondale Partners: Hi. Just a question on inventory. Wondering how much you would see perhaps reducing per-store inventory of a DXL that if you planned to reduce it for stores that have been open for a year to try to boost store productivity.
David Levin: Again, we’ve never been the highest priority on inventory turns because we just have so many sizes that we have to manage. Those of you who know, where a regular size store has 18 size combinations in bottoms, we have 55 size combinations. It’s imperative that we keep our inventory in stock, and again in our core programs we’re about 95% in stock. So we do carry—that is the burden we have to face. We do have to carry inventory. The good news is it’s not perishable inventory. It’s manageable – we move that inventory in and out every month with the manufacturers, so we manage that. Again, for those of you who have followed us for many years, we’ve never had an inventory issue. The units will continue to come down over time as brands become more prominent with a significant price difference, but the dollars will probably stay in the same range, very close to the same.
John Kyees: As we push a little bit farther with the store net program, which allows us to pull items from different stores, it is an opportunity to potentially reduce inventory; but right now, we wouldn’t want to do that. We want to give the customer the best experience possible in a new concept DXL store. But I just had a personal experience shopping with my son last week and he was looking for a shirt that—I think it was like an 18 neck and a 38-inch sleeve, and in that particular color they didn’t have it in the store we were in, but they were able to just go online at the store, order it and have it delivered to the store in three days. So it does work for us. We’re still feeling our way on this whole program.
David Levin: John brought up a good point because he said a word that we haven’t really discussed before, and that’s store net, and this has been a project that’s been going on for close to a year but we are live with it right now. It’s similar to what Nordstrom’s has in place and what Macy’s is working towards. On the internet, the inventory availability only came from our warehouse, so when the warehouse would sell out of an item, it would be out of stock and gone. Today, every store’s inventory in the DXL world is part of the inventory, so if we’re out of a specific item in the warehouse, it will move to the closest store to that customer who may have that item. What’s very encouraging is a strong percentage of these transactions that have taken place in the last month are in clearance items, which is items that we tend to be broken up on and have more chance that we don’t have them in the warehouse. And boy, if we can move clearance at an accelerated pace, that just saves us a lot of money on our markdowns and improves our gross margin.
Mark Montagna – Avondale Partners: Okay, that is very helpful. Thank you.
Operator: Bernard Sosnick from Gilford Securities, your line is open.
Bernard Sosnick – Gilford Securities: Good morning. Could you provide a little bit of coloration, please, with regard to accounts payable? The size of the increase caught my eye and I’m wondering what’s responsible for that.
John Kyees: That would simply be timing. It’s nothing other than delivering of inventory and the timing related to those deliveries.
Bernard Sosnick – Gilford Securities: So that you’re all current on your payables?
John Kyees: Yeah, we’re doing nothing (indiscernible) doing anything like that.
Bernard Sosnick – Gilford Securities: All right, that’s encouraging. The other point – 2013 was expected to be a breakeven year, and I understand all the reasons that you didn’t make it. But since you’re pleased with DXL and since you’ve become more conservative with your expansion rate, and since some of the problems from Black Friday through the end of the year probably won’t be repeated in 2014, why are we still looking at a guidance number that’s negative for this year?
John Kyees: It’s a great question, and we obviously have looked at that a lot and tried to figure out how we ramp up the profit. But the real issue in our conversion from 2013 to 2014 is that we’re going to lose about $50 million of high profit sales from Casual Male as we close those stores. You know, the Casual Male stores, while they are not great for the future, their existence today is a highly profitable existence. They’re probably generating 20 to 25% four-wall income and cash flow, and most of them are almost fully depreciated. So we lose about $10 million in profits from closing those stores. Long-term it’s absolutely the right decision and we’re happy to do it, but short-term it does have ramifications. The other really is that we are going to lose probably $2 million due to a mix of private label and branded product as we shift the DXL business to a mix of private label and branded, where it’s a very different mix than what Casual Male was. The third thing is we’re going to incur another $1 million in additional interest expense as we expand—as we go between stores. We obviously have a CAPEX expenditure there to deal with, and all that is then offset by $80 million of additional DXL volume that is worth about $12 million of profit. So end result is kind of a wash, it’s just a painful wash in terms of looking at the numbers on a broad brush right now. Long-term, we absolutely think it’s the right thing to do and we feel very comfortable that we’ll turn a nice profit going forward.
David Levin: Yeah Bernie, let me add one thing. We opened 25 stores in the fourth quarter, and a lot of them were late in the fourth quarter. Regardless of what stores we open in the DXL world, the first year we go backwards. We’re going to make less money in the DXL store in Year 1 than we did in the Casual Male store –that’s never going to change. The trick is the following year, we get double-digit comps and double-digit comps, and then we’re on our way, and around Year 2, Year 3 we hit the profitability that exceeds the Casual Male store. So we’re just very weighted when we opened half of the stores that we have today opened in the fourth quarter, so that’s going to be the snag, I think. But as we hit 2015, the weight of those stores becomes important and now they’re comping double digits, and they start to offset the Casual Male. That’s just the nature of shutting down a chain and rebuilding another one. We have just a lot of transition costs – the payroll, the pre-payroll, the opening, the training, all those things that take place in a major conversion like this. However, the key point is we are going to get to everybody’s expectations on earnings, it’s just pushed out a few more years than we originally thought. We were very aggressive on the operating—on the sales and operating income to take place in a few years, and we’re learning now that it’s just going to take us longer to get there But as John said, we’re confident that we are going to get there and it gives us the opportunity of the upside. These Casual Male stores that we’re doing $650,000 have been doing $650,000 for the last 10 years with no growth. The DXL stores that are doing $1.1 million, $1.2 million will do $1.7 million, $1.8 million given the five years to mature. So long-term we have tremendous upside where previously we had no opportunity to grow our market share and grow our top line.
Bernard Sosnick – Gilford Securities: I really appreciate the explanation. Just one other thing – of the 40 stores scheduled to open this year, how many are on plan to open in the first half?
John Kyees: First half, I’m not sure. I think we had, like, six stores scheduled to open in the fourth quarter, and the balance of the stores will open during the year. The majority are in the first half, but there will be some third quarter stores.
David Levin: Yeah, there’s a considerable amount in Q3, which is good for us. Going forward, we want to open stores ideally February-March and August-September. Those are going to be our optimal times because that’s when all the pressure pieces are coming in, so we’re gearing towards that.
Bernard Sosnick – Gilford Securities: Thank you.
Operator: That does conclude our question and answer session. Mr. Levin, I’d like to turn the conference back over to you for any additional or closing remarks.
David Levin: Okay, John did you--?
John Kyees: Yeah, I just wanted to provide the information on the stock-based compensation. It was $400,000.
David Levin: Approximately 400?
John Kyees: Approximately $400,000, yes.
David Levin: All right, so—
John Kyees: And one other thing I just wanted to comment on, that I think sometimes people miss. David pointed out on the potential of DXL and how strong it is and how we think it has tremendous future potential. I’ve been in retail a long time and I’ve not seen very many brands where the customer falls in love with it. Anthropologie was an example of that where the customer just was crazy about that brand, but the DXL customer is crazy about the brand. You get these unbelievable letters from customers saying they can’t believe how well they’re treated, they can’t believe the assortment, finally somebody has done something for the big and tall customer. I think that’s pretty unique and it gives us a great future.
David Levin: Thank you, John, for those thoughts – that’s great. Thank you all for being on the call, and as always I’d like to end by inviting you all to visit one of our DXL stores, and give us a call if you’d like to inquire about a store location or would like a tour with management. On that note, we look forward to speaking with you next quarter. Bye.
Operator: That does conclude today’s teleconference. We thank you all for your participation.